Operator: Good morning, everyone and welcome to today's AUDACIOUS Conference Call discussing the results for the Second Quarter of Fiscal 2022, the period ending September 30, 2021. Listeners are reminded that certain matters discussed in today's conference call or answers that maybe given to question asked could constitute forward-looking statements related to among other things our future growth, trends in our industry, our financial and our operational results, and our financial and operational performance. Such forward looking statements are predictive in nature, and may be based on current expectations, forecasts or assumptions involving risk and uncertainties that could cause actual outcomes and results to differ materially from the forward looking statements themselves. For these statements, we claim the protection of the safe harbor for forward looking statements contained in the U.S. Private Securities Litigation Reform Act of 1995 and applicable in the Canadian security laws. The risks and uncertainties referred to above include but are not limited to the timing and ability to close proposed transactions, the anticipated development of the company's various businesses initiatives, and their ability to grow revenues, the ability of the company to enter into further low cost cultivation and offtake agreements with ALPS customers, and the ability of the company to execute on its proposed strategy and the impact of the changes to the U.S. Federal and State developments with respect to the cannabis industry and the opportunities this may present for the company. This and other risk and uncertainties and factors are discussed in the company's various public filings at www.sedar.com. Except as required by applicable law, we disclaim any intention or obligation to update or revise any forward looking statements, whether as a result of new information, future events or otherwise. Note that on today's call, which is recorded, we will refer to certain non-IFRS financial measures such as EBITDA that we believe will provide useful information for investors. The presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with IFRS. Since we are conducting today's call from our respective remote locations, there may be brief delays or other minor technical issues during this call. We do thank you in advance for your patience and understanding. I would now like to introduce Mr. Terry Booth, CEO of AUDACIOUS. The call is yours, Mr. Booth.
Terry Booth: Thank you. Welcome everyone and thank you for being on the call today. As per usual, I will provide a general overview up first, following which Jon will provide a more in depth overview of our financials. I will then come back with an outlook of what you can expect from AUDACIOUS going forward prior to opening the floor for questions. Okay, so let's dive right in. AUDACIOUS is rapidly developing into a meaningful multinational operator or MNO. Our objective is to become the world's most recognized and highly regarded cannabis brand. That is a lofty ambition. But one we're - believe we can achieve it. We have made a good start, so let's take a brief look at our quarter. We saw a continued strong growth. Sequentially our reported revenues increased by 31%. While on a year-over-year basis, our growth was well in excess of 2,000%. Not bad, but this is only the beginning. To-date, most of our reported growth is coming from ALPS, our engineering and design consultancy, that is at the heart of our ability to execute on our unique strategy. As we are not yet able to fully consolidate GT, that's Green Therapeutics. However, we anticipate being able to consolidate GT revenues next quarter. To provide some insights into the actual size of our business on a pro forma basis, we achieved 3,149% growth over what we reported last year, as a stellar increase and very clearly marked AUDACIOUS has changed in the past few quarters. In summary, we continue to execute, continue to grow, and we'll continue to work towards high margin profitable operations. We're doing well and I'm very pleased with the progress made this quarter. As I just stated, our goal is simple to be the best. A road towards achieving this objective is based on six pillars. Number one, low cost high quality infrastructure. We aim to secure long term high quality cannabis at consistent low cost. Our relationship with the Massachusetts Group is a great proof point as we are not seeking capital into building a new facility. Rather we are helping our partners against a fee, while at the same time securing part of their canopy to grow our products. We buy this product back at cost of 5% well below the wholesale prices, while securing the high quality inputs we need for the long term. Furthermore, as we announced, we are taking a 51% stake in the manufacturing facility, which will enable us to make the products we know sell well with higher margins. Applying our unique manufacturing capabilities is one of these assets we have that attracts partners like Belle Fleur, a award winning brand and product lines. We intend to have a full portfolio of brands that serve everyone through their journey in cannabis from new consumers or the Canna-Curious to the experience consumers, the culture and of course our patients. The five brands already some of which are multi award winning, and more in the pipeline, we're well positioned to execute on this pillar of our strategy. The proof is in the pudding. Our brands sell period. Everything we produce is snapped up in short order. We will now roll these brands and product lines out across the U.S. and internationally setting up for strong continued growth. Pillar number three, high visibility. Having the infrastructure and the products is great. But to sell you need to be known. To date, much of the brand equity in the U.S. cannabis industry is in the brick-and-mortar presence of large MSOs with the one exception being cookies and to a lesser extent perhaps Charlotte's Web. Longer term, we anticipate seeing a shift whereby product line based brand equity will become much more influential in driving consumer behavior. To capitalize on this dynamic, it is important to generate high visibility. With over 80% of the customer journey taking place online this is where we need to be to generate that visibility through being associated with major influencers and a world class social media team. We're doing this in multiple ways. One great example was the AUDACIOUS brand launch at MJBiz.com client. We had great traction at our booth where our friends from Rapper Weed and ALPS had a notable presence that drove more traffic to us. We finished the event with an amazing roll up party where many of the great and good of the cannabis industry gathered through our Belle Fleur/Rapper Weed partners one of today's biggest influencers and most AUDACIOUS artists, Machine Gun Kelly attended, and even performed a few songs and setting the crowd on fire. Now more than one month later, people are still talking about the event, which created great recognition of the AUDACIOUS brand. This is just one example of what we intend to do. There's much more to follow. By the way, our new tied partners understand the importance of brand, visibility and recognition to, and they are associated with one of the world's biggest acts through Lalisa, who have close to 70 million followers. Here's the difference between our approach and some of the other celebrity endorsed brands. We've not paid a single celebrity a huge sum of money in a hope that their status as an influence will rub off on us. Rather, we work with organizations with broader reach and residents as well as aim to attract people organically by being genuine, authentic, and having high quality cannabis. Our brands are more inclusive. In this way, a wider roster of influencers is likely to engage with us. Our partnership with professional Bull Riders is a good example. Rather than engaging a single high profile bull rider, we are working with the association. In this way, we have the leverage to reach an audience of over 83 million people, 25% -- that's 25% of the U.S. population, who are generating over 2 billion social media hits per annum, as well as have our brand prominently visible during events. With CBS extensively covering the PBR, our Rapper Weed brand will be beamed straight into the living rooms of millions of viewers throughout the U.S. We already see the positive momentum, with people recognizing that AUDACIOUS is different and real. Consequently, as we have commenced rolling out our marketing communication strategy, we are seeing an increase in the engagement of our brands. These are just the first steps and it was much more to come from AUDACIOUS. Consequently, we're well positioned to capitalize on this important dynamic and create very high visibility for our brands. So what we're looking for, an expansive distribution network. What I described so far is how we have - how we have and are building our foundation. Infrastructure, product lines and visibility set us up to reach large receptive target audiences. Distribution is critical and ensuring our products are front and center where people will be able to actually buy our products. We've been working hard on ensuring that our products building will be found in select retail locations that will be accessible through channels with broader market reach. Having a brick-and-mortar presence is part of this. And we have made our first step with the acquisition of herbs and we intend to expand our retail presence. Beyond that, our provisions at tsunami products in Nevada continue to meet with great market demand and we're working on ways to scale up production capacity to meet demand and accelerate growth. But over and beyond this, we're taking steps to ensure our distribution will go well beyond brick-and-mortar. Herbs in California for instance, comes with a partnership with EAZE, the largest legal delivery service in the U.S. with a number of Audacious SKUs in EAZE menu throughout California. We're able to reach a much larger audience. Proofing case, our provisions cartridges and our loose shot as we announced in our earnings update release within the first few weeks of launch, even with very limited promotional activity, our newest products are already the top five brands in the beverage category and the products sell out quickly. EAZE is up the only leverage distribution that we'll be using through our new partners in Thailand, we will have access to major networks in Asia that provide inroads to selling our products throughout the region. Two of our partners there, distribution channels serve major retailers including 7-Eleven and others. Through our partners at PBR, we're not only are we engaging with a larger audience, we will also be able to sell through leverage channels. First off, we are close to launching our e-commerce website for Wreck-Relief. Secondly, the PBR has deep relationships with major retailers by Tractor Supply Co, and we anticipate being able to secure shelf space with these PBR partners and make our products more easily accessible to a larger audience. As with other efforts, there's much more to come in terms of distribution, the beginning is placed. We are well set up and consequently we are seeing increasing momentum and product sales. We are still at the very beginning and we'll have to scale up more which we're working on but are exceptionally well positioned to capitalize on the enormous opportunities and a global cannabis industry. Pillar number five, the team. However good strategy and the foundation are, a company is only as good as a team that is executed. And I believe that AUDACIOUS we have one of -- if not the best team in the industry. This is not just our C-Suite. While we -- while between us, we combine experienced track record and skill set to execute, it is the people throughout the organization that carry the company and ensure that we deliver every time. I am exceptionally proud of the AUDACIOUS team. And less than eight months we've gone from a semi dormant investment company to a rapidly expanding highly active cannabis operator. What our team is bringing not only the ability to execute, but also the ability to identify and create opportunity. In short, our team ensures we are in the room with the right people to help secure the right opportunities to execute on our unique and very difficult to emulate strategy. Furthermore, our team represents the capability spectrum and track records needed to make this business a success. Last but not least, pillar number six, regulatory excellence. Our licensing strategy is set and well underway. Additional applications have been submitted in states we are in and states we are not yet in and plans are well underway for more applications to be submitted in numerous states. We have hired excellent lobbyists on the East Coast who are making progress with New Jersey in New York. Social Equity, diversity and inclusion are not just buzzwords innovation, they weave our fabric continuing to educate the fair support the cause, community and culture of cannabis is at our core. There is no alternative here. The USA opportunity is tremendous. We have a tremendous understanding of the American cannabis and cannabis and hemp space, investors should rest assured that AUDACIOUS strategy is sound. There are many factors that go in to be able to execute on the six pillars and we have the secret sauce to make it work. So in short, we have the unique very difficult if not impossible to emulate strategy that is setting us up for very rapid expansion without having to lay out large amounts of CapEx. We continue to build a brand and we continue [technical difficulty]
Operator: We do apologize for the interruption. One moment while we reconnect the speakers. And Mr. Booth has rejoined.
Terry Booth: I'm back, apologize for that. Slip of the thumb. And I was about to wrap up anyway. We continue to build our brand and we continue to build a distribution networks. In summary, we're very well positioned to make a difference in this incredible high growth industry. Before I hand it over to Jon, I want to say a few things on our ALPS. I believe it's fair to say the value of ALPS has not been recognized by the market. If you look at some of the ALPS peer group, they are trading at multiples well beyond AUDACIOUS is trading at. ALPS is in my opinion, the technology leader in establishing sustainable greenhouses. We create the optimal environment for anything that grows. That is what ALPS is about. I purposely use the word optimal as that is the core of what we deliver solutions that will generate our customers with the highest return on their investment. This is recognized by a growing number of operators. And we're seeing a proliferation of projects that ALPS' is engaged with or is bidding for. With a pipeline of potential projects in excess of 7 billion in terms of CapEx to be spent by clients, the future of ALPS is very bright. ALPS continues to innovate our partnership with Priva, the world leader in controlled environment technology, and environmental technology solutions with over 12,500 horticultural products -- projects worldwide. It is the direct consequence about developing an unparalleled operation management and compliance solution, which is APIS. The previous marketing power behind us, we believe APIS will meet with a very strong demand and will become a major contributor to revenues. Furthermore, APIS will result in high margin recurring revenue, further securing our long term financial stability. The fact that Priva selected us is a testament to the strength of the APIS solution, and the ALPS solutions, as well as the standing of promise and achieving the industry.. ALPS' is all substance no fluff and filler. Our marketing evolves is based on actual outcomes and -- has that ALPS is achieved not in conjecture of what may happen. This is what over 35 years' experience enables you to do, and ALPS does this better than anyone else as far as I can tell, and as far as Priva can tell as well. The markets will soon understand the importance and impact of the ALPS and Priva relationship. Many clients reality based needs is what ALPS is all about. To this end, the AUDACIOUS achieve series of facility solutions was developed a standardized solution that will accelerate time to market while ensuring the finished product delivers high quality products at low operating costs, is what AUDACIOUS is all about. We launched a solution at MJBizCon and are already in numerous discussions with potential customers. Obviously, we intend for some of these new relationships once an agreement is signed. We have talked about before. But projects with an ESG or Environmental Social Governance angles are hot. It's larger than the cannabis space. There's lots of money available for these types of projects as the work is moving towards a reduced carbon footprints. A strong dynamic is the building of projects that will serve local and regional markets, either in the desert or the Arctic to reduce the carbon footprint associated with logistics. ALPS is an absolute world leader in this field and we are seeing an increasing number of inquiries that are leading to new projects for ALPS to be engaged in. This is important dynamic that we believe will continue to drive growth routes and longer term increase our cash flows to further support our expansion into the cannabis business and actually derisk the cannabis plant. ALPS continues to execute and a great number of projects we are involved in is a testament to that. ALPS will remain a material contributor to a revenue and revenue growth and I look forward to talking about our successes in the month in the quarters to come. I am proud of the AUDACIOUS team has achieved this good. The proof facility industry and consumers react to it. Sales are rapidly growing, well inbound traffic to the company from investors potential strategic partners, and to customers continue to increase. I believe we have achieved something remarkable in these past eight months. And I look forward to great excitement to the future as we take the AUDACIOUS name across the world. On that note, over to you Jon for more detail on the financials.
Jon Paul: Thank you, Terry, and good morning, everyone. I'm excited to present our Q2 results to you. With continued growth in our revenues up [31%] over Q1 and our dramatic 56% reduction in our net loss in Q1 as well. Our transformation from an investment company into an MNO will continue to take shape as shown by performance. Revenues for Q2 fiscal '22 were $2.3 million compared to 105,000 for the same period last year. And up 31% of that I mentioned over our previous fiscal '22 with $4 million versus 167,000 for the first six months of fiscal 2021. The 2022 revenues include consulting income earned by ALPS along with fees from Green Therapeutics under a management service agreement until the license is expected to transfer later this year. High year numbers for revenues, [gifts] reflected limited FinTech operation. And we've been able to consolidate Green Therapeutics revenues into our financials. Consolidated Q2 revenues would have been $2.9 million up from 26% from Q1 revenues of $2.3 million trailing 12 months pro forma revenues which includes the full year of ALPS and Green Therapeutics are now $8.6 million. Gross profits were $1.2 million and 54% for the second fiscal quarter of this year, compared to a loss of $116,000 for the same period last year. Revenues and gross margins continue to grow as an industry leading health's division continues to expand by adding new customers and projects as Terry had mentioned. LOOS demand continues owned by Green Therapeutics, while we await the pending license transfer approval. In fiscal 2022, Q2, we had operating loss of $4.4 million versus $3.4 million in Q1 and $2.3 million in Q2 fiscal 2021. The loss reflects our investment in the future, adding key personnel pursuing a variety of growth opportunities and rebranding the company to AUDACIOUS. However, for this recent quarter, we reported a much lower net loss, we lost $4.3 million, compared to a loss of $9.7 million in Q1, and a loss of $5.8 million in Q2 fiscal 2021. The losses were higher in the prior quarter due to settlements or declines in the value of publicly traded investments. As I mentioned on our previous call, we believe a more accurate measure of bottom line results is adjusted EBITDA, a non GAAP measure, which we define as our operating loss with depreciation, share-based compensation and one-off charges for the proxy battle and settlement charges added back in. For Q2, we had adjusted EBITDA loss of $2.7 million compared to a loss of $1.9 million in the same period last year. While we had higher gross margin, this period as mentioned before, we've spend aggressively on the future in personnel, advisory and marketing areas, as Terry had elaborated for us. The global leading horticultural and cannabis facility design and construction, consider else continued to, deliver strong results, with revenues of $1.7 million in Q2, and strong gross margin of 47%. Moving towards the balance sheet, total assets were $73 million, compared to $82.5 million at March 31. Shareholder equity is $60 million, compared to shareholder equity of $66.7 million as of the prior fiscal year end. We have working capital of $7.4 million compared to working capital and $16.4 million at the end of March last - in fiscal 2021. The primary reason for the decrease is a decline in the value of the publicly traded holdings in Body and Mind stocks. Let's talk about cash flow. Our cash flow from operations for the six months in fiscal 2022 is $4.1 million, compared to a cash burn of $5.4 million in fiscal 2021. The main drivers behind the cash burn this year are the accounts receivable from the revenue growth with the acquisition of ALPS, as well as payments and settlements on various liabilities that we inherited as the new management team. So far this fiscal year, we've incurred $2.5 million in capital expenditures, developing the new APIS service line at ALPS as well as purchasing land in a very attractive location for expanding Green Therapeutics in Nevada. We also have advanced $1.6 million developers to start trucking their greenhouse which will give us access to canopy for launching our brands in Massachusetts in 2022 as Terry described earlier. To finance the CapEx and some of our cash burn, we sold some other land in Nevada for $2.3 million. We also reduced our investments in Body and Mind to selling $3.3 million of stock, which brings our holding under, 10% part of our pivot towards being an operating company rather than and investments out. In summary, we remain diligent in executing our expansion strategy by bringing low cost high quality cannabis to states across the U.S. through our award winning brands. ALPS, continues to deliver solid results as a global leader in cultivation, design and services. We're excited for this part of our business as we continue to see increased demand for high yielding low operating cost facilities around the globe. We look forward to the second half of fiscal 2022 as we continue to position AUDACIOUS as one of the premier operators across the cannabis industry. With that, I hand it back to you Terry. Thanks, everyone.
Terry Booth: Thanks, Jon. Before I open the floor for questions, I wanted to make a few brief remarks about what people can expect from AUDACIOUS in the coming quarters. On the financial side, we see continued solid growth, strong growth. Next quarter, we anticipate recording revenues well north of $3 million. We continue to grow at a high rate, higher than most other cannabis companies out there. We believe that this is still the very beginning though, and we already have commenced with a number of initiatives that longer term we'll see us grow to, much greater heights. We are laser focused on growth, but not at all costs. As our strategy clearly shows, we are in the business of creating value by taking on accretive or close to accretive assets, integrating these into our platform and scale the business of brands across multiple jurisdictions. The expansion plans of Massachusetts are well underway and in the end this facility will deliver us the low cost, high quality product, we need to manufacture products and take award winning brands in his particular state. With AUDACIOUS taking a 51% stake in the Belle Fleur manufacturing facility, we're well positioned to do great things in that part of the state. Shorter term, we're working on strategies to obtain more products to help meet consumer demand and accelerate growth. This is where a significant part of the proceeds of our current funding will go towards. We also continue to execute on our expansion to new jurisdictions. With the achieved facility concept, we're well positioned to sign up more supply partners. Furthermore, we are progressing well towards further agreements that will see us expand in the Eastern United States. We anticipate making announcements on this before too long. We also will be looking at other international opportunities to create greater visibility for our brands and our stock and will continue to execute at a very high pace. And that's the nine months we've completely changed the outlook for AUDACIOUS. We have pivoted from being an investment company the somewhat interesting, but predominantly dormant portfolio of assets into a highly active, rapidly expanding revenue generating multinational operator. I am proud of what we achieved. And I'm even more proud of what I strongly believe we will deliver in the coming quarters. We intend to ignite, excite and delight our shareholders and our customers, this goal as well as a way stay tuned. On that note, I will hand the call back to the operator to pull the floor for any questions, operator over to you.
Operator: [Operator Instructions] And we'll take our first question from Michael Edwards with R. E. Edwards & Associates. Please go ahead.
Michael Edwards: My first question is for the state of California. I know with our expansion, with the EAZE partnership and our retail footprint, we've mentioned that we were going to be going completely vertical there. As far as manufacturing a canopy space, being vertical, would that be through a partnership of building a facility with ALPS for others and then getting a portion of that canopy, kind of like we did in Massachusetts or would that be a vertical that is completely owned and operated by - AUDACIOUS?
Terry Booth: I'll take that question it's Terry here. And by the way, we do have Leah Bailey, our Chief Business Development Officer on the call and a representative from ALPS Joel Fuzat he is very well known to the California market. It's a good question I'd say this though - the price of cannabis right now in California is very low. And I don't think jumping into building a facility would be the smartest thing in the world to do. We have lots of cannabis available. We know a lot of people in California Herbs, comes with a production license so we could always turn that switch on. It also comes with another retail outlet and the market ability for those retail outlets in San Jose are very good. I'm sitting here in Edmonton and we have what 250 retail outlets for 1 million people, San Jose is similar size, is only going to only have - only has 16 retail outlets, it's only going to go to 32 so amazing opportunity on the retail side there. Manufacturing, we will be contracting that out, but we are looking at other alternatives. There is a number of cherries in California. But you can't afford to not be in California, but it is a little bit more difficult to navigate towards profitability. So you're right. We want to be in all verticals, but for the time being raw materials like well cannabis will be acquired versus growing, as we grow in other states.
Michael Edwards: Thank you. And then I had one follow-up question as far as New Jersey and New York, is that going to - kind of follow the same game plan as Massachusetts, with our partnership with Belle Fleur and partnering with somebody building their facility and then getting a portion of the canopy or would that be something that we would go in, because the states are so big that we would go completely vertical on own?
Terry Booth: Sure another great question. You'll hear more in the coming weeks of what we've already accomplished in New York State and New Jersey. We've submitted applications in Ohio as well. But it will be - we're going to try and stick to our strategy. I think the facilities in New York and New Jersey will be limited in size. So I imagine there's going to be a lot of them. We have to understand there's not a lot of grey grow in those states. They get their cannabis for adult usage right now for British Columbia, Colorado and California. So when they turn on the switch for adult usage, there's going to be a, significant demand for facilities and throughout. And I imagine we'll be packaging something up for some of those bigger MSOs. And, and we've got time, I don't see New York coming online for another 12 months, at least, New Jersey is - still hasn't even opened up the application gate. So and that said, whatever 80 million people in Pennsylvania, New York and New Jersey combined its massive market, with very little grey market having to deal with. So we'll decide when we get down there. We're working on a deal in Florida as well, that includes a facility. We're not going to say no to owning facilities, but we're going to be careful on the, spend for the facilities. And I would rather have partnerships in these arrangements than have you know that the risk of oversupply. So you really have to look at the regs and see what the limit is on facilities. I think New York's will have to increase if you look at legislation they'll have to increase the numbers of facilities. But we've had some time we'll do a lot of - we'll do a lot of things before that.
Operator: Thank you. [Operator Instructions] We'll hear next from Dave Meyers, Private Investor.
Unidentified Analyst: Congratulations on what you've accomplished so far. Couple questions, do you feel the U.S. market is still nascent and how do you plan on capitalizing on that?
Terry Booth: Good question, absolutely. It's a nascent industry. It's still a little bit of the wild, Wild West. We call it 50 different countries, but the bottom line is, there's 36 states now and you can sit on your step and smoke a joint, whether that be a medical joint or whether it be adult usage, usage. So we're in at the right time. We - could have been a bit earlier, we actually were, there was no execution done, hence the dissident battle. And it wasn't all - of the previous companies fault for sure it was a conditions in the market, Nevada went into a moratorium and they had big plans in Nevada. Another company that - a lot of times was spent on didn't quite given the full skinny with respect to the books. So what we've done and the states that are opening up far surpassed what's already there. And we just have to make sure we have our foot on the gas, make sure that we're fiscally responsible. We're not going to buy any more Tonka Trucks, or any Tonka Trucks rather that are broken, it costs a lot more to fix those than it does to, to buy them in some cases. So you have to take your hat off to the companies that are still surviving in the U.S. that have survived - with taxation and the problems on TV and whatnot that we think will be rectified will have a significant positive impact on all companies there that are in the state. So it's a, bipartisan bills are coming down pipe. It takes time in the U.S. for political things to happen, but they're all underway. Do I think it's going to be legalized anytime soon in the U.S.? No I don't, I think they may decriminalize or handover medical to the each individual state to make their own decisions essentially, that's what they've done. But having to say such and the more action and to add effects are very, very important stuff. And it's just around the corner. So it is nascent, and it's a little bit wild, Wild West. But there's the ability to make an excellent return for our investors.
Unidentified Analyst: Okay great, thank you for that Terry. You announced that DelMorgan is helping with funding, where are things out with that?
Terry Booth: Very, very, very close, we're very good. We've got I don't know if I can, I can't really speak to exactly what we've got in front of us right now. But you can imagine what I'm saying we've advanced beyond the LOI. We've had numerous meetings at DelMorgan is the type of company that brings one two or three check writers to the table. And we've had great meetings with those potential check writers. So we expect to be announcing something very shortly with respect to closing that financing. 
Unidentified Analyst: Okay great, thanks for that. What do you think about the industrial hemp and the CBD from hemp markets?
Terry Booth: Now they're taking off, right. I mean it's - we still need the FDA to allow for ingestibles as the World Health Organization supports, other countries have now allowed ingestibles like Thailand, and that's part of the reason we did the deal with the Thia's. We are doing the topical creams for the Professional Bull Riders. I don't know that you want to be on the growth side of industrial hemp, you want to be in the production side, the extraction side and the retail side. It is a global product though. And there's also good old hemp food and hemp food has been around for years. We have the capabilities of the technology and the brains to pull off hemps for food. And we have some interesting partners that we're looking at around the world on supplying us with that raw product. So I think it's another excellent opportunity. The Thai deal came around it was closed fairly quickly. It was three or four months of decent negotiations and now we're in Southeast Asia about to sell CBD derived from hemp infused foods you know that's - it's big. And it's not, I don't imagine it will just stop in Thailand, Thailand is another country that looked at it adult usage cannabis for tourists anyway, so we see that coming down the pipe. So the PBR deal with these topical creams. It's a great deal - those guys get tossed up those bulls so they're in pain. And we know that our topicals will work and we're very, very close to having them available from a retail perspective. And Leah has worked with her team and her production team. Jason Dyck's science team, Brian Pile on getting that cream ready and those roll-ons ready I think we're coming out with four products Leah, what products we coming up with on Wreck?
Leah Bailey: Sure, it is actually three, there's a roll-on, as you mentioned Terry, there's a spray, which is a multi-directional spray, which is great. And then there's a gel that's kind of a rub-in.
Terry Booth: Right, thanks for that. And Leah has an extreme amount of experience in the CPG world and as those are, her team that she's assembled. So we're pumped about CBD, so and then we're not going to turn our backs on it that's for sure. I think it's an excellent market opportunity on a global basis.
Unidentified Analyst: I'm glad you brought up Thailand. Can you give us some more information on that deal?
Terry Booth: Yes sure, it's a deal with a company that's owned by a publicly traded company NRF and NRF have excellent relationships with a large - with the larger supermarket chains and 7-Eleven. The CEO that we did the deal with his name is Tom. He's a very flamboyant, very well connected individual. I met him for the first time personally at MJBiz. And we expect to be in January meeting political and bureaucrats are getting this rolling. I expect what that deal will look like initially is us doing the infusion of their products in America and setting them up to do it themselves and us - selling a lot of our brands across borders into Thailand that's the plan. Initially, we have options of owning more of that company if everything goes well and as milestones. So if they hit certain profitability, then we will buy more of the company if they don't we won't, but it's going to be a good partnership I can feel it in my bones.
Operator: [Operator Instructions] It appears that we have no additional questions in the queue at this time. I'd like turn the conference back over to Mr. Booth for any additional or closing remarks.
Terry Booth: Thank you. In closing, everybody that's listening from the team amazing job investors that have stood by - good thinking because we're about to, excite ignite, delight here and I mean that I am very pumped about where we are at and where we are going and the stability that we have, at the top of the Midland at the bottom. It's a great journey and - the opportunities in the USA are immense. And I look forward to the next quarter, and one after that and one after that and one after that. We're on a roll. We are AUDACIOUS. Thank you.
Operator: Thank you and that does conclude today's conference. We do thank you all for your participation. You may now disconnect.